Operator: Greetings and welcome to the Fourth Quarter 2013 Cedar Realty Trust Earnings Conference Call. As a reminder, this conference is being recorded. At this time, all audience lines have been placed on mute. We will conduct a question and answer session following the formal presentation. I will now turn the call over to Jennifer Bitterman, Director of Investor Relations and Corporate Analytics. Please proceed.
Jennifer Bitterman: 
 : Before we begin, please be aware that statements made during the call, that are not historical maybe deemed forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements due to a variety of risks and uncertainties including those disclosed in the Company’s most recent Form 10-K and other periodic filings with the SEC. Forward-looking statements speak only as the date of this call, February 25, 2014 and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures including funds from operations and net operating income. Please see Cedar’s earnings press release posted on its website for reconciliations of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to Bruce Schanzer.
 : Before we begin, please be aware that statements made during the call, that are not historical maybe deemed forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements due to a variety of risks and uncertainties including those disclosed in the Company’s most recent Form 10-K and other periodic filings with the SEC. Forward-looking statements speak only as the date of this call, February 25, 2014 and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures including funds from operations and net operating income. Please see Cedar’s earnings press release posted on its website for reconciliations of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to Bruce Schanzer.
 : Before we begin, please be aware that statements made during the call, that are not historical maybe deemed forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements due to a variety of risks and uncertainties including those disclosed in the Company’s most recent Form 10-K and other periodic filings with the SEC. Forward-looking statements speak only as the date of this call, February 25, 2014 and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures including funds from operations and net operating income. Please see Cedar’s earnings press release posted on its website for reconciliations of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to Bruce Schanzer.
Bruce Schanzer: Thanks, Jennifer and thank you all for joining us this evening on Cedar’s fourth quarter 2013 earnings call. On this call, we will review our fourth quarter and full year 2013 results as well as our expectations for 2014. I will also spend a few minutes on our long-term strategic plan for Cedar and how it is being implemented. I will conclude with the comments about our longest serving employee, who has recently told that she is planning on retiring. Before jumping in, I would like to acknowledge my senior management team colleagues who are with me on this call, namely Phil Mays, Brenda Walker, Nancy Mozzachio, Mike Winters, Charles Burkert, and Stuart Widowski, as well as the balance of team Cedar who have embraced the mantra of everyday excellence in their efforts on behalf of the company. As a shareholder myself, I want to thank you all for all you do on my behalf and on behalf of the other shareholders of Cedar. The fourth quarter was another solid quarter for the company. We generated $0.13 a share of operating FFO, a penny better than last year’s fourth quarter and consistent with our strategy of steadily growing the company’s earnings while continuing to focus on improving our portfolio and strengthening our balance sheet. Same-center net operating income or NOI growth was particularly solid at nearly 3% for the quarter, as were cash basis lease spreads at 7.1%. 2013 full year results were equally solid. We had $0.50 per share of operating FFO consistent with the revised guidance we put out in November. Same-store NOI growth of 1.8% and 9.4% cash basis lease spreads were squarely what we were expecting. Our occupancy and rents continue to slowly improve. We are carefully managing the wave of lease expirations, ensuring we maximize this towards a significant earnings growth in the coming years. Throughout 2013, we were struck by the volatility and uncertainty in both the debt and equity markets as a result of the projected changes in monetary policy and FED leadership. In light of this uncertainty, we had decided to lock down our capital needs for 2014 early, even if it came at the expense of modest potential dilution. Accordingly, within the first few weeks of the year, we completed a $41 million overnight equity offering and closed on $150 million in term loans. Phil will provide additional detail on these financings. However, I want to just take a moment and explain the underlying strategic rationale behind these financings. First, we felt that pre-funding nearly all of our 2014 capital needs considering all the uncertainty in the capital markets appear to us as prudent from a risk management perspective. Second, by continuing to focus on balance sheet flexibility, unencumbered NOI and ever lower leverage, which pro forma for the equity offering is now at 7.5 times, we are continuing to march towards having a broader array of capital raising alternatives in our arsenal. I would be remised if I do not acknowledge that in executing our recent equity offering at a net share price of $6 per share, we sold our equity at a discount to our net asset value or NAV. When we think about our primary goal at Cedar, it is to create value on a per share basis which in the simplest terms means, keenly focusing on increasing our NAV per share. Accordingly, the decision to dilute our NAV by roughly 1% to maintain our improved balance sheet health in the phase of the prevailing uncertainties I just mentioned was done after considerable reflection. Although I cannot promise you, we will never again sell equity at a discount to our NAV, I can assure you that we are very mindful of the intrinsic value of our real estate when utilizing our public capital. In executing our long-term strategic plan, our focus is on growing our NAV per share. Our long-term strategic plan consists of focusing on five elements. First, concentrating on grocery anchored centers between DC and Boston. Second, aggressive operations in leasing to maximize cash flow while minimizing capital spend. Third, redevelopments at our existing centers in a manner that drives attractive spreads relative to our cost of capital. Fourth, capital recycling in order to improve our average asset quality and fifth, conservative balance sheet management in order to maximize our financial flexibility. There are a number of specific examples of measures that are in further with our long-term strategic plan that we had either recently taken or are currently executing. As many of you are aware, in the fourth quarter, we completed our first acquisition, the Big Y Shopping Center Fairfield County, Connecticut. This acquisition is a perfect example of a high-quality grocery anchored shopping center between Washington DC and Boston and is a terrific complement to our existing portfolio. In terms of operations and leasing, as Nancy will discuss in a moment in her remarks, we have a unique opportunity to re-lease over one-third of our portfolio square footage in the coming three years. We anticipate achieving significant positive cash spreads on these transactions with a minimal capital spend if at all. Execution of this opportunity is already underway and you can see from the leasing results we have discussed over the past few quarters. Two redevelopments currently underway include our projects at Colonial Commons in Harrisburg Pennsylvania and Kempsville Crossing in Virginia Beach, Virginia. As we have previously discussed, at Colonial Commons, we are replacing a former dark movie theater with a new building to house Old Navy and Ulta. Similarly, at Kempsville Crossing, we are replacing a former dark farm fresh supermarket with a Wal-Mart neighborhood market. The second such Wal-Mart deal we have done as a dark anchor replacement. These projects will be completed this year and we anticipate both projects delivering attractive double-digit unlevered internal rates of return. Although I can’t go into too much detail at this time, we are actively pursuing other redevelopment opportunities within our portfolio that are substantially larger than these two projects. We plan to discuss them when they ripen. On the capital recycling front, we are currently marketing for sale three of our Western Pennsylvania assets, the proceeds from these divestitures have been earmarked for the long-term financing at our recent Fairfield County acquisition. In addition, we are contemplating the divestiture of several additional lower quartile assets that will ultimately fund additional acquisitions then intensify our DC to Boston footprint and improve our average asset quality. In mentioning asset quartile, I should note that in connection with the NAREIT meetings last November, we introduced for the first time, a fairly detailed slide that disclosed how we rank our shopping centers. The presentation is available on our website. Internally, we look at each of our assets by ranking them into quartiles based on a number of different specifics such as average base rents, demographics NOI growth and NOI contribution among other factors. In the presentation, we summarized this portfolio ranking. Notably, the top two quartiles of our portfolio which represent half of our assets by number contribute 70% of our NOI and represent arguably 80% to 85% of our gross asset value. In recycling capital, our strategies to acquire assets that will be in the top quartile of our portfolio and dispose of assets that are in the bottom two quartiles. Over time, we will continue to share with you our portfolio stratification and the related statistics that contribute to those rankings. Today, the ranking information is instructed and thinking about the relatively high-quality of the most relevant assets in our portfolio and furthermore it should help in arriving at an appropriate cap rate for calculating our NAV. Moving from capital recycling to capital structure, in terms of balance sheet, over the past couple of months, we have moved from just focusing on delevering to asset sales, to additional enhancements that give us even greater flexibility. Specifically, we executed the financings I mentioned earlier that has positioned us well for effecting our long-term strategic plan over the coming quarters and years. As we move forward, we have to use these improvements as a springboard to accessing other capital markets. Before handing the call to Nancy for an update on our leasing progress, I wanted to discuss our G&A in the fourth quarter of 2013 and what triggered a fairly meaningful one-time non-recurring increase from the lower run rate level we have recently achieved. Notably, it arose from the decision by Brenda Walker to retire as Chief Operating Officer of Cedar in the coming months which caused us to take certain charges related to what was previously deferred compensation. Brenda has been with Cedar and its predecessors for 30 years. She is our longest serving employee. During her remarkable tenure, she has done and continues to do literally whatever needs to be done at Cedar from our biggest financings and strategic transactions, to the mundane details at making sure our office is operating efficiently. Even after 30 years here, Brenda is one of the first people in the office every morning and one of the last to leave in the evening. She is a consummate professional and colleague and abides all the qualities of integrity and character that one see in great leaders and professionals. I should mention that Brenda is the first person in her family to had graduated from college which makes her climb to be the Chief Operating Officer of a New York Stock Exchange listed company that much more remarkable and a real testament to her drive and work ethics. Although I am sad to contemplate light at Cedar without Brenda, she has not surprisingly agreed to stay on until at least the end of 2014 during which time she will have no doubt continue to be the first one in and the last one out every day. With that, I give you Nancy.
Nancy Mozzachio: Thanks so much, Bruce. Opportunistic, one word that describes the current leasing environment and Cedar’s unique leasing position as we enter 2014. With almost one-third of our leases rolling over the next three years, we have carefully studied and are addressing all of our upcoming lease expirations. In some instances, we are strategically allowing tenants to expire in favor of exciting re-tenanting opportunities and in other instances, we are upwardly adjusting below market rent. At the onset of the fourth quarter of 2013, notably 65% of 2014 expiring tenants maintained exercisable options but nearly 35% are true negotiated renewal opportunities. Of the 912,000 square feet that we were expected to expire in 2014, approximately 30% of the total square footage to be renewed has already been leased. And over one-half of these completed transactions reflects new term renewals not exercisable options. We anticipate renewals to be completed as we have guided to in the past at on average 8% positive spreads from current rent with no anticipated capital spend. We have identified through portfolio-wide review specific tenant sectors that we consider low growth and view as out of favor and have begun to slowly replace these expiring phases with new high quality tenants in growth sectors such as the health and fitness category, fast casual restaurants and dollar stores. Our assets also have characteristics that appeal to discount retailers who have announced plans for aggressive expansion and would make great new junior anchors to complement the tenant mix at many of our centers. As a result, Cedar stands to recognize gains in both anchor and small shop occupancy. Throughout 2013, we continue to identify possible re-tenanting, redevelopment and pad expansion opportunities to drive NOI growth and bolster the strength of our tenant rosters. A fine example of this laid out in 2013 at our Colonial Commons asset in Harrisburg, Pennsylvania. As Bruce discussed, we demolished an old movie theater and built and delivered retail spaces for Ulta and Old Navy. After demolishing the theater a once-obscured single tenant retail building emerged as a viable pad opportunity. We did not renew this tenant in 2013 and are now poised to add a high quality fast casual restaurant to this location. In addition to increased customer traffic, the deal will yield substantial gains of over 100% from the former tenant per square foot rent. In the fourth quarter of 2013, we completed another dark anchor replacement via another Wal-Mart neighborhood market lease, this time at Kempsville Crossing in Virginia Beach. We are under construction with pad preparation and Wal-Mart will construct their building with an opening slated for the latter part of 2014. As part of our disciplined approach to capital allocation, we carefully monitor the undermarket leases at Kempsville and preparation of the announcement of our dark anchor replacement. As a result, we expect most inline space and one out parcel to be released at market rate of roughly 50% above expiring leases. We are pursuing additional opportunities as part of our dark anchor replacement program specifically we are making progress in lease negotiations to replace a dark former Shaws in one of our New England assets while also negotiating an LOI with a quality grocer to occupy a dark shopper food warehouse in our Metro Square asset in densely populated Owensville, Maryland. The latter will allow us to retain and lease a highly visible end cap, suitable for a mid-sized junior anchor. Lastly, I would like to address our leasing highlights for 2013. For the fourth quarter, we leased 90,800 square feet, and 251,000 square feet to round out the year. This quarter, we saw leasing volume to rise meaningfully above the third quarter and approximately 10% year-over-year. Occupancy rose 60 basis points over the third quarter, and 70 basis points year-over-year, and lease rates rose 80 basis points over quarter three, and 90 basis points year-over-year. Our large shop leased rate is now 98% with small shop leased rate approaching 85%. I would note that our total comp leases at $9.11 per square foot during the quarter were lower than our usual run rate. This is driven by the contractual renewal of a significantly below market Kmart which had no rent bump in its renewal option. Excluding this lease, our total comp leases would have reflected $12.07 per square foot in new rent and a 7.9% cash basis increase over prior rent which is in line with prior quarters. Please keep in mind, we have another Kmart with a similar rent structure in our portfolio that will likely renew in the coming months that may cause the noise in our leasing results. Additionally, our new lease spreads were lower than average at positive 4.7%. This is on a very low volume on a square foot basis as we had several new leases during the quarter that were non-comp, most notably, the Wal-Mart at Kempsville Crossing, and a new Michael's deal as part of our Brickyard redevelopment. I would guide you to our annual positive cash spread for 2013 of 18% for new leases and 8% from renewals as a good run rate going forward for 2014. I am truly proud of what our team accomplished in 2013 and optimistic about Cedar's leasing and renewal prospects in 2013. With that, I give you Phil.
Phil Mays: Thanks Nancy. And good evening, everyone. 2013 was a solid year for Cedar as we continue to grow operating FFO per share, while at the same time improving the quality of our portfolio and balance sheet. On this call, I will highlight our 2013 earnings, recent capital markets activity and our initial 2014 guidance. Beginning with earnings, operating FFO was $0.13 per diluted share for the quarter compared to $0.12 for the same period last year. For the full year 2013, operating FFO was $0.50 per diluted share consistent with the full year 2012. However, please note that 2012 included $3.4 million or $0.05 per share of lease termination-related income. Additionally, the fourth quarter and full year of 2013 had a non-recurring drag on G&A of about $0.5 million. As Bruce noted, this was driven by the acceleration of compensation expense associated with Brenda as she nears retirement. Taken in context we are pleased with our 2013 earnings. Moving to property results. Same-property NOI increased 2.9% for the quarter and 1.8% for the full year. The fourth quarter was favorably impacted by retenanting the dark anchor at Oakland Commons. Excluding this retenanting impact, same-property NOI increased 1.8% for the quarter and 1.9% for the full year. Turning to our balance sheet and recent capital markets activity. We completed a $41 million common stock offering less than two weeks after the end of 2013, after taking these proceeds and discounts, our adjusted net debt-to-EBITDA at 7.5 times. As the new management team in 2011, we committed to decreasing net debt-to-EBIDTA and we have consistently done so. We have gone from an excess of nine times in 2011 to 8.4 times at the end of 2012, 7.9 times at the end of 2013 and 7.5 times upon the completion of this equity offering. Additionally, after this offering, we have more than adequate liquidity with about $150 million available on our revolving facility. Even more recently, we closed this month on a $150 million of unsecured term loan, giving the excess bank demand when we completed our unsecured revolving facility in August alone with the uncertain interest rate environment, we thought it was prudent to pre-fund our 2014 debt maturities. The unsecured notes consist of a five-year, $75 million term loan, initially priced at LIBOR plus 175 basis points, and a seven year $75 million term loan initially priced at LIBOR plus 200 basis points. Further, by obtaining a delayed draw feature and entering into forward LIBOR swap agreements that begin July 1, 2014 we obtained flexibility to better match our 2014 maturities and thereby avoid FFO dilutions. The effective fixed interest rate beginning July 1 2014 are 3.37% for the five year term loan and 4.27% for the seven year term loan. As an added benefit, we were able to amend our existing $50 million term loan that matures in August 2018 and decrease the interest rate by 20 basis points to LIBOR plus 175 basis points, thus matching the pricing of our new five-year term loan. One last note on this matter. From paying off our mortgage maturities in 2014 with the proceeds from these new unsecured notes, we will have unencumbered about 50% of our property NOI, it’s a vast improvement from what was essentially a fully encumbered portfolio just two years ago. Finally guidance. We are establishing 2014 operating FFO guidance at $0.51 to $0.54 per diluted share. The key assumptions underlying this guidance are as follows; same-property NOI growth of 1% to 2%. An increase in occupancy of 50 to 100 basis points, acquisitions of approximately $100 million and dispositions of approximately $100 million. Notably, it’s about $0.03 per share of dilution from this capital recycling as well as the downtime associated with reckoning the dark anchor at Kempsville Crossing. However, we believe that the long-term benefits and value that will result from rotating in the higher quality assets and anchored tenants, is worth the near-term FFO dilution related to these activities. With respect to same-property NOI growth, same-property NOI growth in the last two years was consistent at almost 2%. We are establishing a range of 1% to 2% for 2014, but frankly, we will be disappointed if it is not again be the high-end of this range. In closing, please keep in mind that if we recycle capital, our debt-to-EBITDA may bounce up and down as we further upgrade the quality of our portfolio. However, we have diligently worked to improve our balance sheet and it’s our intention to preserve this progress and continue to improve that going forward through proactive management similar to our recent capital market transactions. And with that, I’ll open the call to questions.
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Todd Thomas with Keybanc Capital Markets. Please proceed with your question.
Todd Thomas – Keybanc Capital: Hi, thanks. Good afternoon.
Bruce Schanzer: Hi, Todd.
Todd Thomas – Keybanc Capital: Hi, the first question is, speaking about the same-store NOI growth, Phil, I hear your comments about, that you’d be disappointed if it were to fall toward the lower end of the range. But I am just wondering with 50 to 100 basis points of occupancy pick up in annual rent bumps, you did almost 9% leasing spreads on the comp leasing done in 2013, that should flow through slightly higher recovery ratio, I guess, what’s the offset? Why wouldn’t that be more like a 2% to 3% range out of the gate from the start here?
Philip Mays: Hey Todd, so the 50 to 100 basis point is on the whole portfolio. A lot of that will be captured in redevelopment and you won't see in same-store growth. So – and the same-store growth we are having we anticipate being latter in the year of occupancy pick up mostly in the fourth quarter, a little bit in the third quarter. So, that won't be a huge contribution from the occupancy gain for same-store.
Todd Thomas – Keybanc Capital: Okay, and then, in terms of the leases that you are signing today, it sounds like the environment is pretty favorable, are you able to get better annual rent growth escalators on the leases that you are signing today versus what’s in place?
Nancy Mozzachio: Hi, Todd, it’s Nancy. Yes, I would answer that we are able to get annual rent growth in many instances not all instances makes a favorable environment as I mentioned in the remarks, your property type helps attract discounters and discounters are growing quite rapidly today and because there is lack of new phase, it also causes us to go back and structure deals or maybe a little bit more favorably to us gaining with annual growth bumps.
Todd Thomas – Keybanc Capital: Okay, are those annual escalators that you are getting today, is that sort of spread across or are you able to get those in some of the anchor leases that you’ve signed recently as well or is it mostly still just the small shops?
Nancy Mozzachio: No, I would say we have, I mean, it’s not as common as the small shops category. But we certainly have gotten it.
Todd Thomas – Keybanc Capital: Okay, and then just last question, maybe for Bruce or Phil, I guess, just in terms of the equity offering, Bruce, I appreciate your comments about the prudent decision to issue equity given some of the uncertainty and volatility in the markets. But I was just wondering maybe if you could expand on that decision a bit specifically, the amount that was raised, why not issue a little bit more and take the opportunity delever a bit further and sort of load up the balance sheet now that you are beginning to invest?
Bruce Schanzer: It really is quite simply the balancing of different considerations. We are really reluctant to dilute ourselves from an NAV perspective and so we really try to limit it to the amount that we thought we need it in order to make sure that between the term loan that we knew was likely to close and the proceeds from this equity offering plus the free cash flow that we just generated off of our business that we would have sufficient capital to address the capital requirements for 2014. So it was really that simple. And, to the extent that I guess we needed to raise equity later in the year and not that we contemplate that but we would just do another small equity offering. I think the other thing that I would mention is that from an execution perspective, again, since we were selling equity at a discounted NAV one of the things we were very focused on was minimizing the discounts between our closing share price and our offer price and we thought that we would be able to optimize that by limiting the number of shares to the greatest extent possible and I think that was that borne out by the relatively tight discount we were able to achieve.
Todd Thomas – Keybanc Capital: Okay, so, there is no additional capital-raising activity either new equity or debt embedded in guidance?
Bruce Schanzer: No.
Todd Thomas – Keybanc Capital: Okay, all right. Thank you.
Bruce Schanzer: You are welcome. Have a good day.
Operator: Thank you. Our next question comes from the line of Craig Schmidt with Bank of America. Please proceed with your question.
Craig Schmidt – Bank of America Merrill Lynch: Thank you. First of all, I’d say congratulations to Brenda Walker on her upcoming retirement. It comes well deserved.
Brenda Walker: Thank you, Craig. I appreciate that.
Craig Schmidt – Bank of America Merrill Lynch: Okay. And looking at the acquisitions and dispositions, it seem like they are on a volume basis neutral, could you provide us what you think might be the differential in cap rates versus the acquisitions and dispositions?
Philip Mays: Well, I guess, I would answer that in two ways. One is, in terms – we have specific assets that we are marketing. These are really among our weaker assets and the cap rate differential between the residual portfolios that we plan on holding on to in these particular assets is probably north of 200 basis points or call it 250 basis points just to keep the number somewhat round. As we start cutting a little bit deeper into our portfolio, going forward, I would expect that spread to narrow and probably be less than 200, probably, falling between 150 and 200 basis points, but the particular assets we are selling right now are north of 200 basis points.
Craig Schmidt – Bank of America Merrill Lynch: Thanks. And then on the NOI guidance of 1% to 2%, does that include the Wal-Mart at the Kempsville Crossing?
Philip Mays: No Craig, the Wal-Mart is at the front of a redevelopment where the old space is getting completely taken down, a new store is being built, it’s a little bit of additional small shops being added and we’ve been keeping a lot of small shop adjacent it on short-term leases that we expect to roll it to make bumps. So that is moved over to redevelopment.
Craig Schmidt – Bank of America Merrill Lynch: Okay, thanks.
Philip Mays: Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Nathan Isbee with Stifel. Please proceed with your question.
Nathan Isbee – Stifel Nicolaus: Hi, good afternoon.
Bruce Schanzer: Hi, good afternoon, Nate.
Nathan Isbee – Stifel Nicolaus: Thanks. Like to echo the comments about Brenda as well. It is hard to believe it’s been 11 years since you guys came public. Just wanted to ask about first on the status of the Shore Mall.
Bruce Schanzer: Okay, on the Shore Mall, Nate, it’s an incredibly timely question, we literally – Mike Winter is not on this call right now. He is in another conference room in office, literally closing the Shore Mall right now and so, I would say, by the end of the day, we will be – the Shore Mall will no longer be part of the Cedar portfolio and that will really represent truly the final step in concluding the near-term strategic plan that we talked about two years ago. And I really would commend Mike and the teams for getting this deal over the finish line, the pricing on it is incredibly tight when you think about it on a 2013 cap rate basis, it represents a four cap and in terms of the impact on our leverage. Phil had mentioned that pro forma to the equity offering, we go down to about 7.5 times pro forma for the closing of the Shore Mall, we will be below 7.3 times. And so this is again another constructive step in advancing the cause of just continuing to improve our balance sheet.
Nathan Isbee – Stifel Nicolaus: All right. Can you talk about the buyer and what type of financing they got?
Bruce Schanzer: Yes, I wouldn’t get into too much detail on the buyer. The buyer is a relatively local operator, somebody who acquires assets in this region and they received bank financing as we understand it in order to close the transaction.
Nathan Isbee – Stifel Nicolaus: All right. Thank you and then I guess on the acquisition side, can you give a little bit of an update on where things stand in terms of looking at today, leases-wise and perhaps, are you looking mostly one-offs or any small portfolio speculating?
Bruce Schanzer: So we are – right now we have a pretty active acquisition pipeline that we are working on. I’ll give you the characteristics of all the centers we are looking at are centers as I had mentioned in my prepared remarks, centers that would fir squarely in the top quartile. Our existing portfolio – now, the one thing I would say schematically with respect to all of our acquisitions is that, we are very focused on doing our acquisitions one after at a time since we think that there is just a benefit from a diligence perspective in terms of unearthing issues with the assets and being able to address those issues in a way that minimizes some of the inevitable slippage that happens when you acquire an asset we haven’t done before. And so we have found that that is something that serves our shareholders well in terms of doing things on a one-off basis. And the only other thing that would say just schematically is that, we are continuing to focus on the DC to Boston footprint and on grocery anchored centers. Although the only thing that I would say is that the assets we are looking at some of them, I would say fall within the more expansive definition of grocery that we’ve talked about in the past and include discount stores or supercenters or what have you. So again, those are the types of deals that we are looking at and I am optimistic that over the coming months, we will have one or two deals to be able to talk to you about that again represent portfolio upgrades and are consistent with the strategy we’ve been articulating all along.
Nathan Isbee – Stifel Nicolaus: Okay, and then just one going back to Brenda’s departure – is there any plans to bring in a CEO or is it’s something that you are considering looking (inaudible) to bring in from inside or outside?
Bruce Schanzer: The answer to that is yes. We are looking both inside and outside and the nice thing about Brenda being as gracious as she always is and giving us this much notice is that, we have time to reflect on it and think about it and that’s exactly what we are going to do and again there is no bullet to our head and there is no gun to our head – pardon me – and we will just do things in the ordinary course and in a way that optimizes the executive offices of the company.
Nathan Isbee – Stifel Nicolaus: All right, thank you so much.
Bruce Schanzer: Thank you so much, Nate.
Operator: Thank you. We have no further questions in queue at this time. I would like to turn the floor back over to Bruce Schanzer for closing. Thank you sir.
Bruce Schanzer: Thank you. Thank you everyone for joining us this evening. We appreciate your continued attention and support. I expect the coming quarters will continue to be exciting for all of us at Cedar and hopefully rewarding for all of our shareholders. Have a good night.